Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q4 2020 The Bancorp Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Andres Viroslav. Thank you. Please go ahead, sir.
Andres Viroslav: Thank you, Operator. Good morning, and thank you for joining us today for The Bancorp's fourth quarter and fiscal 2020 financial results conference call. On the call with me today are Damian Kozlowski, Chief Executive Officer; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 12:00 PM Eastern Time today. The dial-in for the replay is (855) 859-2056 with a confirmation code of 8952947. Before I turn the call over to Damian, I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects, and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties, which could cause actual results, performance, or achievements to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp's filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements, which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now I'd like to turn the call over to The Bancorp's Chief Executive Officer, Damian Kozlowski. Damian?
Damian Kozlowski: Thank you, Andres. Good morning, everyone. The Bancorp earned $0.41 a share on revenue of $75 million, and expenses of $42 million. For the full-year 2020, TBBK generated $1.37 a share. This exceeded our original guidance range of $1.25 to $1.34 a share and our revised guidance target due to COVID of $1.25 a share. Revenue climbed 35% driven by year-over-year increase in net interest income of 47% and non-interest income of 14%. Cost of funds was down 61% year-over-year illustrating the benefits of our payments funding model. For the full-year 2020, revenue increased 14% over 2019. Expenses declined 12% for the quarter and 2% year-over-year. Cost control and efficiency continues to be a main focus of management. Net income from continuing operations grew 132% quarter-over-quarter and 34% year-over-year after adjusting for prior-year civil monetary penalties. In the fourth quarter, we saw continued business momentum, led by gross dollar volume, GDV, and our cards business of 18%. This quarter GDV growth was lower than previous quarters likely due to the Elections. We experienced a depression in spend in November prior to knowing the full outcome of the Presidential Election. This mostly restored in December, and does not appear to be a long-term trend. We also added assets led by 56% year-over-year growth in our securities and insurance lending platforms. Additionally, our commercial business has continued momentum with SBA excluding PPP growing 3% and leasing growing 7% quarter-over-quarter. We have completed our strategic business plan, strategic agenda and budget for 2021; main focus continues to be on product and platform expansion, with a rigorous focus on building the best payments ecosystem in the financial services industry. Our plan includes a comprehensive and integrated analysis of market and competitors and the needed investments to build towards the future and create scalable core competencies that our partners can use to innovate and grow. We also continue to invest heavily in anti-money laundering and compliance, have best-in-class capabilities to meet regulatory guidance and expectations. As previously announced, our board has authorized a buyback of shares to commence in the first quarter of 2021. We're currently in the market repurchasing shares. The bank can purchase 10 million TBBK shares a quarter for the balance of 2021, totaling 40 million of shares repurchased. At this time, the bank believes that its shares are undervalued and buybacks will be the most efficient way to return capital to investors. Dividends were considered as an alternative. With the current bank stock valuations and TBBK business prospects, buybacks were deemed economically advantaged. Dividends could be added to buybacks in the future as valuations rise, or TBBK approaches this long-term return goals. Lastly, our guidance target for 2021 is $1.70 a share or approximately $100 million in net income. The earnings per share estimates do not include share repurchases. I'll now turn over the call to Paul Frenkiel, our CFO, to give you more color on the fourth quarter.
Paul Frenkiel: Thank you, Damian. Return on assets and equity for the quarter were respectively 1.6% and 17% compared to third quarter asset and equity returns of 1.5% and 17%. The increases were driven primarily by a $16.5 million increase in net interest income. The increase in net interest income reflected a lower cost of funds, growth in higher yielding small business SBA and leasing, and the retention of the commercial real estate portfolio we previously had been securitizing. The vast majority of that portfolio is comprised of multifamily loans i.e. apartments, with cumulative COVID losses estimated by nationally recognized analytics firm at 1.2%. These loans which totaled $1.6 billion generally are on our books at a $99 price or lower and have a weighted average rate floor of 4.8%. SBLOC and IBLOC loans also amount to approximately $1.6 billion, and while their yield is estimated at 2.5%. Those portfolios have not experienced credit losses due to the nature of the collateral. Our next largest portfolio of small business loans is comprised primarily of SBA loans with a year-end total of $822 million, which reflected $42 million of fourth quarter repayments of short-term PPP loans. The remaining $166 million of PPP loans should be repaid by the Treasury over the coming quarters, and approximately $1.4 million of fees will be recognized primarily in first quarter 2021. Legislation enacted in December provides for additional PPP loans and we intend to participate in that program. In the new program, borrowers will have to exceed lost revenue threshold to qualify for new PPP loans. Accordingly, we believe the amount of new PPP loans will be less than the $208 million generated in the first program, which yielded $5.5 million in fees. Our SBL portfolio has an estimated yield of 4.9%. While, SBA commercial mortgage loans have origination date loan to values of 50% to 60%, SBA 7a loans are generally 75% guaranteed by the U.S. government. In addition to the six months of government payments on those loans authorized by the CARES Act, which mostly ended in the fourth quarter, the December legislation authorized an additional three months or longer of payments on those loans. The U.S. government will also make up to eight months additional payments for businesses determined to be more impacted by COVID, including hotels and restaurants. Unlike the six months of CARES Act payments, these additional payments will be capped at $9,000 per month. In addition to SBA loan growth, we increased leasing balances to $462 million from $431 million at the prior-quarter end. Leases have an estimated yield in the 6% range. We emphasize diversification in our small business and leasing portfolios, which is detailed in the tables in the press release with segment loan portfolios by loan type, collateral and geography. Deferrals increased to slightly over 3% of loans from 1.2% at September 30. The increases were primarily in commercial real estate loans and SBA loans. SBA increases reflected deferrals for customers until the additional three or eight months of government payments begin on February 1. They also include increases for commercial mortgage 504 loans, but note that those loans are 50% to 60% loan to value. Commercial real estate loans increased by approximately $20 million consisting of a new hotel and movie theater complex deferral. It should be noted that those loans are fair valued and we're not concerned with the overall increases in deferrals. For this quarter, we nonetheless expanded disclosures to detail the diversification of loans for which borrowers have requested those deferrals. The $16.5 million increase in net interest income reflected increases in average quarterly CRE loans to $1.6 billion, while related interest income increased $11.7 million. Interest on SBA loans increased $2.1 million, including approximately $1.5 million of recognized PPP fees. While combined SBLOC and IBLOC loans increased 55% over those periods, related interest income was approximately equal reflecting the Federal Reserve interest rate reductions in 2019, and first quarter 2020. SBLOC loans are secured by marketable securities and IBLOC are secured by the cash value of life insurance and credit losses have not been incurred. Interest expense was $5.1 million lower and the cost of funds was 24 basis points for the quarter, reflecting the impact of those Federal Reserve interest rate reductions. Most of our deposit interest expense is contractual and tied to market interest rates. The net interest margin in Q4 was 3.58%, up from 3.37% in Q3, reflecting higher securities income. Q3 reflected the impact of premium amortization on prepayment fees, which was less pronounced in the current quarter. Continuing impact of reductions of higher yielding securities either through prepayment, or maturity will likely continue the overall trend of yield reductions. Additionally, the margin benefited from reductions in lower balances at the Federal Reserve Bank which earn a nominal rate and which will likely eventually return to historically higher levels. The provision for credit losses was approximately $550,000 and resulted primarily from growth in leasing and advisor financing balances, as the company experienced net recoveries during the quarter. Because SBLOC and IBLOC loans are respectively collateralized by marketable securities and the cash value of life insurance and have not incurred losses, management excludes those loans from the ratio of the allowance to total loans in its internal analysis. Accordingly, the adjusted ratio is 1.4%. Prepaid accounts our largest funding source are also the primary driver of non-interest income. Fees and related income on prepaid cards were up 5% to $17.8 million in Q4 compared to $17 million in Q4 2019. On an annual basis, those fees increased 14%. Card payment and ACH processing fees include rapid funds revenue and decreased $174,000 to $1.8 million, reflecting the exit of non-strategic higher risk ACH customers and an exit due to a change in ownership. Non-interest expense for Q4 2020 was $41.8 million, which represents an increase of 4% after adjusting Q4 2019 for an FDIC settlement of $7.5 million. That increase resulted primarily from higher salary expense, which reflected higher incentive compensation expense. We continue to focus on expense management, especially in relation to revenue growth. In December 2020, the FDIC issued regulations which should result in the classification of a portion of the Bank's deposits, as non-brokered. The regulation takes effect in Q2 2021 and we intend to pursue the steps required for the reclassifications. Such reclassifications could result in a future reduction of FDIC expense. Book value per share increased to $10.10 compared to $8.52 at December 31, 2019, reflecting earnings per share and the increased value of the investment portfolio in the current rate environment. The Q4 2020 consolidated leverage ratio, which is based upon average quarterly assets exceeded 9% and risk-based ratios approximated 14%. In closing, there are certain characteristics of our loan portfolios as further detailed in the tables in the press release, which I would like to highlight. As previously mentioned, the vast majority of our $1.6 billion of commercial loans held-for-sale are multifamily loans specifically apartment buildings, for which a nationally recognized analytics firm has estimated cumulative loss of 1.2% in their COVID projections. Those loans are already on our books at levels reflecting that discount. SBLOC and IBLOC portfolios are also approximately $1.6 billion and have not incurred credit losses notwithstanding the recent historic declines in equity markets. Approximately 62% of the $822 million small business loan portfolio including PPP loans is U.S. government guaranteed. The majority of the other small business loans consist of commercial mortgages with 50% to 60% origination date loan to value. For leases which experience credit issues, we have recourse to the leased vehicles. While there's uncertainty related to the future, we believe these are positive characteristics of our portfolio, which demonstrate lower risk than other forms of lending. I'll now turn the call back to Damian.
Damian Kozlowski: Okay, thank you, Paul. We're going to open up for questions. Operator, would you open the line for questions?
Operator: [Operator Instructions]. Your first question is from William Wallace with Raymond James.
William Wallace: Thank you. Good morning, guys.
Damian Kozlowski: Hi, Wallace.
William Wallace: I have a handful of questions. Maybe let's just start with the GDV trends, there is interesting commentary during your prepared remarks that you saw a decline leading up to the Election and then a bounce back in December. Is this -- the bounce back in December, I guess a couple of questions, what do you anticipate that that you can recover the lost spend in kind of leading up to the Election or is that just sort of lost money? And what are your overall expectations for 2021 as to how we might see the spend grow? And also what you might expect on the margins there?
Damian Kozlowski: Yes. So I have no idea on that first part of that question. I would assume that unless the savings rate goes up on a macro level that people will spend the money sooner or later. But I couldn't possibly calculate whether or not over 130 million cards, people will spend that money. So I'm going to lay that one aside. On the second one, we're targeting, we're over a much larger base now, we had -- it's just phenomenal what happened last year. We had a third growth, that's I think that's going to far exceed any other player in the marketplace. But we're targeting 20% or more growth -- GDV growth over in our plans. And I think we're trending that way. We still have an extremely strong pipeline. We've added, as you know, several new large programs that really haven't started going into high gear. And there is certain segments, like in health care, and things like commuter cards that really haven't contributed in 2020 because of COVID situation. So I think as we and this is not even suggesting there's going to be another stimulus. So as the economy reopens in the summer, hopefully, I think here -- I think we'll be right there on trend, I think we'll be above this double-digit target that we have. And if we get stimulus or something else, we'll probably be above that.
William Wallace: Okay. And if you can get the 20% plus growth in GDV, could that translate into 10% plus growth in the revenue line, or it looks like for [indiscernible] a little bit less than half of the GDV growth, so meaning --
Damian Kozlowski: I'm sorry.
William Wallace: In essence you burning in revenues?
Damian Kozlowski: Well, we had 33% growth and 14% fee growth. So it's roughly half, it bounces around, depending on which programs are growing at which time. So 45% to 50% of the GDV growth seems like right now, with our mix, that's likely because we have a lot of new programs coming on, and they're tiered. So the higher fees come in, the earlier part of the program. So right now, it looks more like to the 50% if we did 20% to 25%, you would be half that right now with the mix that we have.
William Wallace: Okay. Okay. Okay great. Thanks. Appreciate that color. And I'd like to ask you about the rapid funds product.
Damian Kozlowski: Yes, we lost you there, Wallace. Operator?
Operator: He has disconnected.
Damian Kozlowski: Okay.
Operator: [Operator Instructions]. Your next question comes from Frank Schiraldi with Piper Sandler.
Frank Schiraldi: Good morning.
Damian Kozlowski: Good morning, Frank. How is everything?
Frank Schiraldi: Good, thanks. You guys are well. I wanted to start with the guide, just want to make sure I didn't miss in the release you pointed to the $1.70. In the past, you talked about the $1.65 to $1.70 for EPS for 2021. It doesn't include buybacks. What else is not included there? So is a second stimulus I guess even the one that went out the direct payments to individuals in January, is that included in guidance?
Damian Kozlowski: No, we put none of this stimulus, right. We're expecting a depressed environment until the mid-summer when the economy opens up again. So we haven't really built that in, I mean, we've just taken the trend line, we're not -- we're not expecting. That was a smallest stimulus as you know. The real question is whether or not we're going to get the bigger one in a month or so. So that'll have a marginal impact. Just to -- just generally though, if you look at where we're today, we do our modeling in a very dynamic way. So we look at offsets and positives. Right now, there does seem to be a preponderance of possible positives. And those are the two real drivers, the stimulus and the opening of the economy. So we don't really know what that's going to -- it's -- we're getting pretty good GDP growth that just came out at 4%. So if you were to get a big bump in the summer, in excess of that, it probably would have a pretty good impact not only on payments spend, but it would have an impact on our lending businesses, positively. So but we haven't built that in, we've looked, where we are today at say, $0.41 a share. It's pretty clean, it's a run rate. And if you look at our growth of our book, it does seem that on a steady-state basis, even if we don't get a lot of these tailwinds, we'll be up -- we'll still be able to meet that guidance. That's why we I took off the $1.65, I think it's pretty, $1.70, I feel very comfortable with and we'll update that as we get more information about the economy, if we do get the positives, we would update that guidance.
Frank Schiraldi: Okay. And then just on the change in designation on the deposits, or at least some of them from brokered to non-brokered, any sort of, I'm assuming that's not in your guidance, because we don't know how much you're really going to save there, I guess. But any sort of thoughts in terms of, what percentage of your deposits will fall-off that that or, become non-brokered versus brokered?
Damian Kozlowski: It could be as much as 40%, or 50%. And it's right, it's not included. That's one of those tailwinds. But I'll give that to Paul. He's been working on the process in order to give you a reply.
Paul Frenkiel: Yes. So Frank, yes, they're definitely if we get a high enough percentage of our deposits, there definitely are some potential FDIC reduction, you really have to go through on a program-by-program basis and analyze each program and the -- an application has to be filed for certain of them. And then the FDIC makes the ultimate determination. So because it's the FDIC's determination, we're not really going to give an estimate of what we think. But we’re going to do, do the applications and go through the processes. And we think there's some savings going to happen. We just can't estimate the amount.
Frank Schiraldi: Okay. And then, just back to GDV growth. I don't know if you have it, or you can, just any color, you gave your thoughts for the full-year, just wondering how it's trending to start the year, over last year's results.
Damian Kozlowski: It's trending exactly, like I said. So even over with all the enormous growth we've had, it's still trending very positive with a very strong pipeline in the range of our target. So I think if we, obviously if we get the stimulus that it's going to match up, if they wait any longer, it's going to match up perfectly with the last year. So we'll see what happens if they do that or not, but we're not counting on it. Like I said, we think we're still going to be in a really good position this year, regardless if they do that or not.
Frank Schiraldi: Right. And then obviously last year, it's tough to compare to those results where to your point, you were growing in some quarters 40% year-over-year, but so just to -- so the expectation this year is for what 20% plus is what you assume --?
Damian Kozlowski: Yes. The long-term target is 20% or more.
Frank Schiraldi: Okay. And then --
Damian Kozlowski: These things are hard to -- these things are very seasonal and everything, so one month might be less, we had to slow down in November, which wasn't only us, it was across the entire economy. But it's a systemically, if you look at it systemically, it's very positive just because of virtualization and the partnerships that we have. The key partnerships we have long-term contracts with but all the partnerships we're developing and implementing now. The long-term trend, even though that we're probably we were eight on the list of the Nielsen list last year, we might be as high as five or four this year, only behind the three big money center banks. It's a much bigger base, but all the necessary conditions are in place to grow it long-term at that level.
Frank Schiraldi: Okay. And I just wanted to just ask about something VISA said in their -- on their call, they talked about debit growth being three points lower in the December quarter, linked quarter, then driven by a step down in unemployment benefits that were distributed through prepaid cards. Is that impactful to you? And is that an important or meaningful potential growth if those unemployment benefits come back online to the extent they were in 2020 or earlier in 2021?
Damian Kozlowski: Yes, that's another tailwind again; because we see the same things where we deal with obviously, a lot of those payments go into our cards from our debit partners. And so yes, that's correct. I don't know exactly the percentage, VISA is very accurate, I think. I don't know the exact percentage on that, but it's a few percent probably.
Frank Schiraldi: Okay, so that is important. But I guess the way stimulus is not baked into your expectation that those unemployment benefits coming back online are not baked into your expectations of long-term growth; is that fair?
Damian Kozlowski: We just don't plan for other people; we're planning our pipeline of programs. And that's what we base our budget on. We don't hope for the government intervening in the structure of the industry. You just don't know, you can't --we -- those are all gravy. Let's put it that way.
Frank Schiraldi: Okay. Fair enough. I'll re-queue there, let somebody else ask the question. Thanks.
Damian Kozlowski: Hey, thanks a lot, Frank.
Operator: [Operator Instructions]. And your next question is from Mr. -- follow-up question is from Mr. William Wallace with Raymond James.
William Wallace: Good morning.
Damian Kozlowski: Welcome back.
William Wallace: Yes, thanks, I don't know what happened. I'll try again. And I apologize if I asked a question that Frank asked, you can just refer me to the transcripts. But what I was going to ask was, if you could update us on trends in the business in the rapid funds product, and you're experiencing good, good onboarding of new customers, I look at the ACH line down for the year, and I was hoping you could just kind of give us an update?
Damian Kozlowski: Yes, so yes, it will be very positive this year. So what we did was look at the entire envelope of activities we were doing in ACH and also looked at because our consent order restricted merchant acquiring, we developed a path forward on that business. So you'll see 20% plus fee growth in that area this year, most likely. That's what we're predicting. And that's based-off of rapid funds and acquiring partners. So we've really, if you recall, we had some payroll business previously, that we exited, as well as there was, as Paul alluded to, in his comments, there was one partner that left because of an acquisition that was done. But that wasn't a core business of ours either. So what we've done is restructure the business, we cleaned the risk, what we thought were the riskier parts out of it. And that's why you saw the decline this year. We're seeing -- we're still seeing growth in the indirect rapid funds with the big partners. And we're starting to build volume now with direct rapid funds, which is where we are integrated into the system with a processor. So we should see pretty good fee growth on that line this year.
William Wallace: Okay, great. Thank you. And then I noticed there was a $1.5 million gain on loan sales. What was that from?
Paul Frenkiel: We -- when commercial the loans we've previously held for securitization, when they're repaid or refinanced to another institution, we earn an exit fee.
William Wallace: Okay.
Damian Kozlowski: Yes, just a one thing -- just one thing to add to that, we have a future, because of these are transitional loans, we still have around $250 million of future fundings. So we -- while some loans may refinance, you're going to have future fundings come in to replace them. So we're going to have very good income stability in that portfolio over the next two years, when anybody does refinance, we'll get those fees. And remember they're still at our balance sheet at 99 also, so if they're paid at par, we'll also realize that.
William Wallace: Yes. We should anticipate there should be some recurring -- some recurring revenue there, it might be lumpy from quarter-to-quarter, but over the course of the next three to five years, that that's probably a recurring line item?
Damian Kozlowski: Yes. So for the next few years, you'll get a lower amount of fees, right for next two years because you're -- we just can't predict how many people will decide to finance out, it's based on a lot of attributes. But there it's hard to see that there will be enough more than the future fundings that are committed to those projects. So it's really after two years, where you'll see as people hit the three-year mark, that's where you won't get the exit fee. But you remember, they're booked at 99. So you'll get that as they roll-off as their prepayments happen, you'll get that.
William Wallace: Okay. And then, excuse me, as you see any change in the credit metrics of any individual loans, like you mentioned, the hotel and the theater that went on to deferral this quarter, does the 1% mark on the whole portfolio cover translate that, or these loan-by-loan marks?
Paul Frenkiel: They're loan-by-loan mark. So we have basically 1% on each loan. But if you look at it over the next two years versus potential losses, I think it's significant that, if we have the COVID losses that are predicted, and by the way, we don't think we will. We've underwritten these loans much more carefully than just would be represented by a blanket estimate of charge-offs for all multifamily. They're not like the high-end, and so forth. They're really working class type apartments. But even if you assume that 1.2% if you look at the mark overall at 99 to $1.6 billion portfolio that really offsets over the long-term, although the point you're making is true, that if you had a credit event that full 1% discount would not offset that one-time credit event, initially.
William Wallace: Okay, okay. Thanks. I appreciate that clarity, appreciate it. And then following-up on the FDIC insurance, can you -- are you able to tell us how the equation changes if you have a deposit go from broker to non-broker?
Paul Frenkiel: There is -- there is -- there are a lot of factors in that Wally that it makes it probably not a prudent thing to estimate the FDIC insurance like it's based on capital levels, it's based on the percentage of non-performing loans. It's based on just a whole host of items. So I think that the lesson is that or the thing to take away is that all other things equal if we can reclassify enough of them, and we do believe, we have a significant amount, that expense line item should go -- should go down, and that's our goal.
William Wallace: Okay. And I guess maybe to help us think about it. Is that -- should we anticipate that that all flows to the bottom line? Or does that give the opportunity to invest more in any existing businesses or new business?
Damian Kozlowski: No, it's bottom line. We already have our plan. Everything that we're talking stimulus, the -- I don't know if you heard the comments with Frank, but the stimulus, the reopening of the economy, FDIC insurance, the payments to unemployment, none of that, all those are really not built into the base case. We really are running at a $0.41 a share already run rate. If you obviously, if you combine that times four, you're at $1.64 a share. So we've got, is the bias up, yes. There's no doubt, but those tailwinds, we don't know what's going to happen with the COVID. We were very careful last year, when everybody else took off their guidance, you know, we kept ours on and really looked at it on a run rate basis and we're doing the same now, it's not, we're not totally out of the woods. The bias is probably up on good events could happen, but we don't -- we just don't know obviously, because of this current situation.
William Wallace: Okay, yes, good. Thanks, that’s good. Good to know that there's some potential upside drivers not considered. On the net interest margin, Paul, you gave a lot of color in the prepared remarks. And I can read back through that. But I'm curious; I didn't catch anything about what any potential impacts from PPP fee acceleration on forgiveness, could you quantify that, if not said?
Paul Frenkiel: Well, clearly, it's going to help like, if the loans are repaid, the PPP loans are repaid quicker, and I'm talking about the new round in 2021, then we recognize those fees over a short period of time. But if you look at the original one, we estimated it would take 11 months. And we saw the first wave of $42 million in the fourth quarter, but that still leaves us with $166 million. So we're not planning on any acceleration. We have about $1.4 million that will take in the fourth quarter, which is the last of the old PPP. And then of course, the new PPP as I said in the comments, we expect it to be less because the borrower has to show that they had a quarterly drop of 25% in revenue, so that all else equal that should reduce the $5.5 million, we got in fees on the first PPP.
William Wallace: What was the, so far on the second round or third round, whatever you want to call it? Where are you -- what's the dollar volume of applications so far?
Paul Frenkiel: Yes. I don't know that we really want to speak to that. It's -- they've really got to be funded in everything. They've got to go through due diligence. So when we have a number, a reliable number, we will publish that.
William Wallace: Okay. And did you say, $42 million were forgiven in the fourth quarter?
Paul Frenkiel: $42 million were repaid by the government out of the $208 million; the government repaid us $42 million in the fourth quarter.
William Wallace: And what was the fees that accelerated into it then [ph] on?
Paul Frenkiel: We've been straight lining them over 11 months, so we didn't really have any acceleration factor. They're slightly slower. We're hoping that in the first quarter, we get the rest of it back.
William Wallace: Okay. Okay. Last question just on capital management. So you're in the market now buying back shares, your earnings stream is strong and seemingly predictable? What are the considerations about implementing a dividend, if any?
Damian Kozlowski: Okay. So we think our multiple is still low, we think with a 17% ROE, and growing and over a 1.5% ROA, we're still undervalued in our PE multiple and our market to book. So we think we should be at least right now in the low 20s. We really believe that and we're going to continue to buy shares until we're fully valued. Once we are fully valued and we think that'll come over maybe the mid-term, which 18 months maybe, we will -- we're definitely going to consider maintaining buybacks of some sort, probably but then adding a dividend. If you think about where the market is, the market returns between 40% and 50%. About 85% of banks in that range return mostly banks, lower growth banks, with ROEs more like the 10% to 12% range return dividends. But we're -- we have a different prospect and we believe our stock to be undervalued. So once we hit that multiple, market multiple we think is right at that point in time, the board will consider a dividend in addition to some structure of buybacks.
William Wallace: Great. Thanks, Damian. Appreciate all the color; I’ll step out in case there's any other questions in the queue.
Damian Kozlowski: Thank you, Wally.
Operator: Your next question comes from Adam Hurwich from Ulysses.
Adam Hurwich: Hi, thanks for taking the question. Actually, your previous response addresses but I wanted to ask about, could you describe your progress over this year in shifting income from the balance sheet to fees because some of the investors I assume like me are more focused on your PE than your E?
Damian Kozlowski: So we focus very -- obviously, we're high fee now because of the way we fund the bank, obviously. And we're always looking at fee growing opportunities, even outside of our payments business. So we want to continue to build that stream throughout our businesses. And what you saw this year was an extraordinary situation on our balance, due to an extraordinary interest rate and dislocation, where we ended up holding a substantial amount of loans that we securitize and this very outsized amount of loan growth that we saw in certain areas like SBLOC. So when you look at systemically, you find that we grew our spread revenue very aggressively, because of the -- obviously, the collapse in funding. So that should be more steady, going into the next three years. With the Fed comments that interest rates are going to remain low, you'll see that the spread income will grow, obviously, but not in that disproportionate way due to the shock. And so the balance between fees and spread revenue will, it'll start to show larger fee gains, I believe in the fees -- fee area rather than this one-time dislocation that increased spreads substantially.
Operator: Your next question comes from Christopher Hillary with Roubaix Capital.
Christopher Hillary: I just wanted to ask when you look at your 2% medium, long-term ROA target, what are some of the things that will help you get there sooner versus what might slow you down. And if you could sort of take us through a few of the areas that you have some influence on that would be terrific?
Damian Kozlowski: Well, it's all about, I'll direct to Paul. So it's all about balance sheet management. So we're trying to very effectively use our size, right. So we don't want to have a lot of excess cash or loans that we don't think are accretive. So you saw a gap up this year, in our size of banks from 4.5 to 6. And we supported that obviously through that, what we've just talked about in the phone was this one-time substantial collapse in funding rate, so that you also, you saw our ROA rise. So we're very cognizant of our returns. So we want our ROE, our use of equity and our use of our balance sheet to be very focused. So we don't like to do things that erode that. So we have a lot of liquidity on our balance sheet, we generally carry three times the primary liquidity, but we don't want to carry more than that of our peer groups. So, we want to add good assets that return good returns. Here's an example like on our SBLOC business, there's been a lot of chasing, and even going down below 2% on these variable rate loans, we don't do that, we set floors. So it's all about rigorous balance sheet management and making sure that you're not utilizing your assets in low return, for low returns. And I just want to note that we do have a low, even with our growing ROA, we do have a portion of our bond portfolio, it's fairly low return. So as we need liquidity, we can reset that bond portfolio, let the liquidity some of that liquidity drain off and use it for higher returning loans like in leasing and in our small business franchise.
Christopher Hillary: Okay. Thank you.
Paul Frenkiel: Yes. I would add to that, that our expense management and managing non-interest expense on a growing base, growing asset base is also key. And then, as it relates to the last question on fee income, if you look at the fee income increases, the potential fee income increases implied by the GDV growth, the rapid funds and the payments business which we're expecting to get back on an increasing trajectory. Those fees and those and the expense management are the two keys.
Christopher Hillary: Well, thanks very much. Good luck with the rest of the year.
Damian Kozlowski: Thank you.
Operator: [Operator Instructions]. And your next question comes from Frank Schiraldi with Piper Sandler.
Frank Schiraldi: Still me coming back. Sorry, I just want a quick one about consumer credit, and the opportunity there and more so if that is something that you could see being a part of -- a meaningful part of earnings growth by the end of the year, or is that more sort of something down the road?
Damian Kozlowski: No, I don't know about end of the year. But that's obviously; I don't think we'll be in the low end of that pool in the subprime area. But we're looking; we're right now developing a credit roadmap for the next three years. So we're definitely looking at that avenue, probably with a financial partner in credit sponsorship. We probably won't, we're issuing some type of credit like products today, but we're not -- we're not looking say to get in the credit card business, right. So this would be the potentially the financing of consumer receivables. So it's definitely going to be part of our business will be by the end of the year, probably not. That's another longer-term initiative. And it'll probably be in a format, where if somehow, it's delivering it in a virtual way, we're probably not going to do direct home mortgages, those types of things. It'll be more consumer receivables that we're working with a partner, a program manager in order to facilitate.
Frank Schiraldi: Got you. And then just a quick one on the NIM for Paul, just to follow-up on the PPP amortization. So is it about, so I'm coming up with about $2 million a quarter, that's been running out?
Paul Frenkiel: About a $1.5 million, about a $1.5 million.
Frank Schiraldi: And that should run-off next quarter, basically, after the first quarter?
Paul Frenkiel: Correct. And then we'll have the new PPP in the second quarter by the second quarter.
Damian Kozlowski: And there's one thing to mention is that we do, we're working in the PP area with a partner, which might result in additional fees, that wouldn't be direct loans that we originated, and those fees might replace up to in the $2 million range. So there may be some additional upside on the PPP in addition to the -- our own origination. So we're working with a partner, who's doing a vetted partner, this isn't built into our forecasts either, and this is -- this is a -- this we'll see how the program works. But it could result somewhere between 0 and $2 million or so in fees. That would be additional PPP fees that would result from this program that we initiated with a partner.
Frank Schiraldi: That's just 0 to $2 million overall, or that's quarterly?
Damian Kozlowski: 0 to $2 million overall, it's not, if these would be loans that we're funding up to $50 million. And then they would be settled. So this could have -- this could -- there could be one of those, or there could be 10 of those. And so this is a partner that we have extreme confidence in, that is experienced that we're funding the transaction and receiving fees once those transactions are originated. And so, if it say, if it was $50 million, and there were 10 turns of this revolving credit line that would result in $2.5 million fees. Now, I'm not saying we're -- we just started this program, I'm just making you aware of that it exists and it would potentially replace some of the fact that we're probably going to do less of the PP loans for ourselves. Some of those fee may be replaced by that alternative program.
Frank Schiraldi: Okay. But that program has started up since PPP started up, okay?
Damian Kozlowski: Yes.
Frank Schiraldi: All right.
Damian Kozlowski: Yes, it started; it's already been initiated and approved by our credit committee.
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to Damian Kozlowski for closing remarks.
Damian Kozlowski: Thank you so much, operator. I appreciate everybody joining us today. We really had a really great year this year, coming into the unfortunate circumstance we had with the pandemic. And the companies I think is in a very solid footing for 2021 and beyond. We're going to continue to work very hard to build value for our shareholders, take care of our business partners, make sure they can grow and innovate and always keep an eye on making sure we enrich and build the careers of our people. So thank you everyone for joining us.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.